Operator: Good morning, and welcome to Horizon Technology Finance's Second Quarter 2015 Conference Call. Today's call is being recorded. All lines have been placed on mute. We will conduct a question-and-answer session after the opening remarks. Instructions will follow at that time. I would now like to turn the call over to Megan Bacon of Horizon for introductions and the reading of the Safe Harbor statement. Please go ahead.
Megan Bacon: Thank you, and welcome to the Horizon Technology Finance second quarter 2015 conference call. Representing the company today are Rob Pomeroy, Chairman and Chief Executive Officer; Gerry Michaud, President; and Chris Mathieu, Chief Financial Officer. Before we begin, I would like to point out that the Q2 press release is available on the company's website at www.horizontechnologyfinancecorp.com. Now, I will read the following Safe Harbor statement. During this conference call, Horizon Technology Finance will make certain forward-looking statements, including statements with regard to the future performance of the company. Words such as believes, expects, anticipates, intends or similar expressions are used to identify forward-looking statements. These forward-looking statements are subject to the inherent uncertainties in predicting future results and conditions. Certain factors could cause actual results to differ on a material basis from those projected in these forward-looking statements. And some of these factors are detailed in the Risk Factor discussion in the company's filings with the Securities and Exchange Commission, including the company’s Form 10-K for the year ended December 31, 2014. The company undertakes no obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. At this time, I would like to turn the call over to Rob Pomeroy.
Rob Pomeroy: Thank you, Megan. Good morning and thank you all for joining us. During the second quarter of 2015, we successfully executed on our strategy to use our improved liquidity to grow our investment portfolio. We took advantage of favorable demand levels for our venture debt to capitalize on our pipeline of opportunities. We deployed our capital prudently in a competitive venture lending environment, originating 13 high-quality loans with attractive onboarding yields. We also increased our leverage towards our target ratio. We earned net investment income of $2.9 million or $0.25 per share for the second quarter. Our operating results did not reflect the full impact of our portfolio growth in the quarter, as many of our new loans funded late in the second quarter, a pattern we expect will continue. Our operating results were also impacted by our higher average share count from the equity offering we completed in the first quarter and a lower level of prepayments than normal. During the quarter, we funded new loans totaling $48 million, growing our portfolio by $36 million. We experienced liquidity events from two portfolio companies in the second quarter, as compared to six liquidity events during the second quarter of last year. Liquidity events produce accelerated income and return capital for redeployment in the new investments, while we often retain warrants in the portfolio companies. As a reminder, the number, dollar amount and timing of prepayments in any quarter are not predictable, but are an important aspect of the venture lending business. We earned a portfolio yield of 13.1% for the quarter and 14% for the first half of the year. We ended the second quarter with a portfolio of loans to 55 companies, with an aggregate fair value of $232 million. We also added to our portfolio, warrants during the quarter. At June 30, we hold warrants and equity in 88 companies. We hold warrants in 14 companies that are already public or in registration, along with warrants and success fee agreements in private later-stage revenue companies, we believe are right for M&A exits. We believe that future realizations of these warrant and success fee agreements will produce upside to our shareholders. With regards to credit quality, at the end of the second quarter, our debt investments had a weighted average credit rating of 3.0 compared to a credit rating of 3.1 at the end of the first quarter 2015. At quarter-end, 87% of our loan portfolio was performing at or better than expected at the time of underwriting. We placed our $6.7 million debt investment in Raydiance on non-accrual status in the second quarter. Subsequently on July 24, we exited our debt investment and received net proceeds of $4.9 million from the sale of substantially all of Raydiance’s assets, which amount was equal to the fair value of this debt investment as of June 30, and therefore we expect no further impact to net asset value in future periods. While the loss from this debt investment was disappointing, we were able to exit this investment with minimal additional operating expense. As of June 30, we had a total of two loans related one, which had an aggregate costs of $8.2 million and fair value of $6.4 million, including the Raydiance loan. In the second quarter, we had an increase in net assets from operations of $1.7 million or $0.15 per share, and for the first six months of 2015, we increased net assets from operations by $5.6 million or $0.52 per share. As of June 30, our net asset value was $13.99 per share, a decline of $0.20 compared to the end of Q1. This decrease in NAV was attributable to earning net investment income below our declared distributions and the fair value adjustment related to the Raydiance’s debt investment. Turning to liquidity. Our debt to equity ratio at the end of the quarter was 0.58 to 1, compared with 0.45 to 1 at the end of first quarter, as we increased the use of our revolving credit facility. We intend to leverage our portfolio to our target ratio of 0.75 to 1 in the coming quarters. We are currently projecting our investment portfolio at the end of 2015 to reach approximately $270 million. As of June 30, we had $14 million of availability under our revolving credit facility, which we have the ability to increase. We are working to expand that facility in the near-term, as we look to grow our leverage capacity and liquidity to fund our pipeline of loan opportunities. We continue to target achieving net investment income that covers our distributions by the end of this year. Taking into account our second quarter performance and future outlook, we declared monthly distributions totaling $0.345 per share payable during the fourth quarter of 2015. This represents an annualized yield of 9.9% based on our NAV as of June 30, and over 13% based on our recent stock price. Since our IPO, we have declared cumulative distributions of $64 million or $7.34 per share. As of June 30, we have undistributed or spillover income of $0.22 per share. Our strategy remains to earn net investment income that covers our monthly distributions over time. With regards to the advisability of a share repurchase plan, our Board of Directors and management have considered such a plan and whether it is in the long-term best interest of our shareholders. Following the successful raise of additional equity capital in March, we initiated a growth strategy to deploy that capital by working toward our target leverage ratio. We made good progress on that strategy during the second quarter and believe that conditions in the venture lending space continue to provide opportunities for us to grow our portfolio with good onboarding yields during the second half of 2015. There are specific characteristics that differentiate Horizon’s strategy from other BDCs, which include a lower overhang of excess capital on our balance sheet and that our portfolio yields are among the highest in the BDC industry. We also have a rapidly churning portfolio which allows our equity and debt capital to be invested, return through amortization and prepayments and then redeployed in additional investments. Each new reinvestment adds to our portfolio of warrants and success fees, increasing the potential for further upside to investors. The use of capital to repurchase shares would permanently reduce our ability to deploy, leverage and churn that capital. Having made progress on our growth strategy, we have concluded that retaining our existing equity capital and the ability to leverage and continually reinvest that capital will build net investment income and long-term shareholder value. Accordingly, our Board has decided that a share repurchase plan is not in the best interest of shareholders at this time. Turning to the global financial markets. There are many macroeconomic factors that can potentially have an impact on BDCs, including changes in interest rates. As it relates to Horizon’s interest rate risk, as we have previously notepad, we have shifted our portfolio almost entirely to floating rates, with floating rate loans comprising 81% of the outstanding principal of the loan portfolio as of June 30 and the remaining portfolio at fixed rates is effectively match-funded through our fixed rate asset-backed securitization. We expect that our debt investments in the future will primarily have floating interest rates. These actions will minimize negative impacts from rising interest rates. Another macro issue impacting BDCs is concerns over energy prices and energy-related investments. Horizon has no direct exposure to industries or companies that are directly impacted by changes in the cost of oil and gas. Additional risks impacting the financial markets include economic and political issues in foreign countries. As a reminder, Horizon makes loans to U.S. borrowers and is not directly exposed to foreign markets. Currently we are focused on executing on our strategy of deploying the new capital raised in Q1, and working toward our target leverage. Our revolving credit facility is in efficient and well-priced source of liquidity for us. We believe that Horizon remains positioned to grow loan originations and increase net investment income to drive long-term shareholder value. Going forward, we have the balance sheet strength, capital resources and pipeline of opportunities to expand our portfolio in a disciplined manner. In a moment, Chris, will detail the financial results for the second quarter, but first, Gerry, will provide an overview of our target industries and the venture lending market. Gerry?
Gerry Michaud: Thank you, Rob, and good morning, everyone. Horizon benefited from a healthy pipeline of directly originated transactions as it ended the second quarter, which when combined with ample liquidity from its March equity offering, provided strong portfolio growth. In Q2, Horizon funded $48 million to 13 companies, nine of which were new portfolio companies. These results compare favorably to $25.5 million of new fundings to seven companies in Q2 2014. Horizon continued to obtain attracting onboarding yields of 12.4% in Q2, 2015, as a result of its continued disciplined investment strategy in the changing competitive environment for venture lending. Loans funded in Q2 were senior term loans. Five of the transactions were senior term loans secured by a first lien and eight transactions were senior term loans secured by a first lien behind a bank revolver. These transactions were diversified among the technology, life science and healthcare information and service industries. Our committed, approved and awarded backlog, improved during the quarter to approximately $56 million at June 30. Subsequent to the end of the second quarter, we had been awarded new transactions totaling approximately $8 million. Meanwhile, our pipeline of new opportunities continues to grow and exceeded $220 million at June 30, 2015, which is its highest level in the last four quarters. With adequate liquidity and available capital resources, we can remain selective in originating high-quality, highly yielding venture loans. At the end of the second quarter, we held warrant and equity positions in 88 portfolio companies. During the second quarter, one of our life science portfolio companies, Nivalis Therapeutics, completed its initial public offering. With the Nivalis IPO, Horizon now has 13 publicly-traded portfolio companies. Of these, 11 are life science companies which have the potential for significant increases in market value, if and when, they meet clinical and regulatory milestones. As an example of significant increases in market value, on July 23, Innotech, one of our publicly-traded drug development companies announced positive Phase 2 clinical results of its lead drug compound, which resulted in its share price increasing over 200%. While Innotech’s results represent a favorable event in our portfolio, we remain patient and cautious as we look for long-term growth in the value of our existing company portfolio and seek to add more companies to our public portfolio by investing and reinvesting our capital in life science companies. Meanwhile, according to the National Venture Capital Association or NVCA, the second quarter was the slowest quarter by overall number of M&A deals. In addition, while there have been a few unicorns over the last few quarters, values for venture-backed technology companies had been mostly disappointing. We see this trend in our own portfolio as the number of our technology portfolio companies, which have been demonstrated real growth over a period of years, have not been able to attract high valuations from potential buyers. Notwithstanding this, we expect to see a more favorable market emerge over the next four quarters as buyers look for opportunities to grow, and increase competition for transactions, results in higher values for sellers. Our view is consistent with that of UBS, which recently indicated a combination of strong liquidity positions for buyers and a need for innovative new products will lead to increased M&A activity in the technology and healthcare industries. Turning to our activity in our core industries in the second quarter. In the life science industry, we are seeing plenty of activity on the VC side, with investments primarily focused on the biotech market. Overall, investments in the life science industry were $3.1 billion, up 41% from Q1, though the number of companies receiving VC investment was flat. We are seeing numerous opportunities for companies to augment their equity capital with venture debt, and expect this trend to continue over the second half of 2015. The number of IPOs for life science companies rebounded after a fairly soft first quarter, representing 70% of total IPOs in the second quarter. According to NVCA, there were 19 VC-backed life science IPOs in the second quarter. Most of these companies have performed well since their IPOs, trading at higher prices relative to their offering prices. We continue to monitor our public life science portfolio for milestone events that have the potential to drive valuations higher and provide shareholders with upside value from our warrants and equity investments. Turning to the technology industry, we are seeing opportunities across all sectors and we remain highly competitive in this market. The software industry continue to receive the highest level of VC funding among all technology sectors, generating an increase in investments of 30% over the first quarter to $7.3 billion, according to the NVCA. In healthcare information and service industry, we continue to see a strong pipeline of quality opportunities, as venture capital investors continue to increase investment in this industry. Innovative healthcare technology companies and service providers are becoming the catalysts for improving health care service, while driving down health care costs, which will be fundamental to changing how healthcare is delivered in the U.S. going forward, irrespective of potential long-term changes as to how healthcare is paid for. Finally, VC investment in cleantech continues to lag significantly compared to the other industries. We remain opportunistic in pursuing quality deals, however our cautionary approach in the cleantech industry remains intact. Turning to the overall competitive landscape, we believe that competition in the venture debt market is evolving. The ongoing acquisition of tech banks combined with a significant increase in portfolio of challenges, resulting from aggressive bank lending over the last two years is now having a material impact on tech banks’ desire and ability to continue to compete for venture loan opportunities. The domino effect is investors in venture-backed technology companies are now realizing that what appeared to be cheap bank debt is now becoming far more costly when their portfolio companies look to refinance their debt. We believe this will lead to a pendulum swinging back toward non-bank venture lenders, who appropriately price and structure the risk of a venture loan and have the knowledge and infrastructure to work with these rapidly growing companies and their investors over the long-term. Looking at the broader venture-lending market competition, one of the more aggressive PE-backed life science lenders over the last two years was unsuccessful and attracting a buyout [ph] for the lender earlier in the year. As a result, we have seen less competition for life science transactions in the marketplace. Moving forward, our marketing outlook for the second half of 2015 is favorable, despite persistent competitive pressures. With the competitive landscape shifting away from venture banks toward non-bank venture lenders, we expect to be opportunistic in building more upside to our portfolio through higher warrant coverage and/or success fees going forward. With that update, I will now turn the call over to Chris.
Chris Mathieu: Thanks, Gerry, and good morning, everyone. Our consolidated financial results for the second quarter have been presented in our earnings release in our Form 10-Q, both distributed after the market closed yesterday. For the three months ended June 30, total investment income was $6.9 million compared to $8.7 million for the second quarter of 2014. This change was primarily due to lower interest income on investments, resulting from the decrease in average investments, as well as a decrease in the accelerated accretion of fees from lower prepayments. Total investment income for the quarter included $6.6 million from interest income on investments and $300,000 of fee income. New loans funded in the second quarter had an average onboarding yield of 12.4% compared to 12.6% in the second quarter of 2014, and 11.8% in the first quarter of 2015. We continue to focus our loan originations on floating interest rate debt investments. As of June 30, 81% of our outstanding principal amount of our loan portfolio were interest debt floating rates. We further substantially all of our older fixed-rate loans are match-funded in our securitization, which has fixed 3% annual borrowing rate, reducing the risk related to the spread compression on this portion of our portfolio. We believe we are now largely protected from a rising rate environment in the broader markets. For the second quarter, our portfolio yield was 13.1% compared to 15% for the first quarter of 2015. The primary changes quarter-to-quarter portfolio yields are driven by the timing of new loan originations and the timing extent of loan prepayments, including prepayment fees and acceleration of previously unamortized transaction fees. The company's net expenses decreased by $2.9 million to $4 million for the second quarter, as compared to $6.8 million for the second quarter of 2014. Interest expense decreased $2.5 million or 66% year-over-year to $1.3 million. Interest expense declined primarily due to a decrease in the average cost of borrowings in 2015 and one-time charges incurred in the second quarter of 2014 related to the termination of our term loan facility. Base management fee expense decreased by $100,000 or 5% to $1.1 million for the second quarter, compared to the second quarter of 2014. Base management fee expense declined primarily due to a decrease in the average gross assets of about 2.7%. Professional fees decreased to $300,000 for the second quarter of 2015, which is in line with our normal level of operations. We earned net investment income of $0.25 per share for the three months ended June 30, as compared to $0.19 per share for the second quarter of 2014. As of June 30, we elected to carryforward taxable income in excess of our current distributions or spillover income of $0.22 per share. Our investment portfolio grew to $240 million at the end of the second quarter, an increase of $36 million from the first quarter, reflecting higher demand for our growth capital, resulting in greater fundings of new loans, combined with lower prepayment activity. New originations in the quarter of $48 million in loans to 13 portfolio companies were offset by $5.4 million in scheduled principal payments and $5.4 million in principal prepayments. Subject to the level of actual loan originations and prepayments, combined with the impact of expected scheduled principal payments of approximately $6 million, we expect the net portfolio for the third quarter to increase in the range of $5 million to $10 million. In terms of liquidity, Horizon ended the second quarter with approximately $26 million in available liquidity, including cash and funds available under our credit facility, a decrease from available liquidity of over $70 million at the end of first quarter, as we used this liquidity to originate new debt investments. As of June 30, we had $36 million outstanding under our revolving credit facility, which has a current commitment of $50 million and contains an accordion feature allowing for an increase up to an aggregate commitment of $150 million. We're working closely with KeyBanc and are in discussions with other lenders to increase the level of commitments under the facility’s accordion feature. We are optimistic on our progress. However there can be no assurance that additional lenders will join the facility. We also had $24.6 million outstanding under our investment grade securitization and $33 million outstanding on our publicly-traded baby bonds. We continue to see demand for all of these bond products in the market and will add to our current commitment levels when warranted. We intend to increase our debt levels and grow our leverage ratio towards our target of 0.75 to 1, as we continue to increase the utilization of our revolving credit facility as a source of capital to grow our investment portfolio. Before we open the floor to questions, I'd like to note that we plan to hold our next conference call to report third quarter results during the week of November 2. This concludes our opening remarks, and we'll be happy to take questions that you may have at this time.
Operator: [Operator Instructions] Our first question comes from the line of Robert Dodd from Raymond James. Your question please.
Robert Dodd: Hi guys. A couple actually. First of all, a housekeeping one. On the scheduled debt repayments, they’ve been trending down in the last couple of quarters, fairly $5 million this quarter. First half of the year is about 6% of the average portfolio. Prior years, it's been 8% to 10%. Is this an indication just of the relative age of the portfolio mix and more of them are in the interest-only phase, or is it an indicator that the market has shifted a little bit and in fact that interest-only phase is stretching on new deals? Can you give us any more color there?
Gerry Michaud: Robert, this is actually - you’ve hit on two points. One is newer transactions tend to have a little bit longer interest-only period of 12 to 18 months, and that is largely the reason for the lower principal repayment.
Robert Dodd: Got it. And then, if I get on the buyback question. Obviously it’s a total return versus given your kind of thing, not really the coupon issue. Your new onboarding yield is about 12.4%. Your aggregate credit losses net of warrant gains since formation of about $4 million, so that’s negative. But your fee income is - just your disclosed fee income, prepayment fees that occurred [ph] is more than 2x. So obviously your total return is greater than the onboarding yield, but looks to me that it’s close-ish to that 13% right now. So is the decision more a function of an expectation that the future total return that you can generate on deployed capital is better than - modestly maybe, better than the historic total return with the credit losses and the one - offset by one-off gains and fees that you’ve had, or was it just a close decision or there has been any change in expectations of future total returns you can achieve on the portfolio?
Rob Pomeroy: Okay. I think you've actually, again Robert, hit on all of it. It is a close decision. We had a spirited discussion about the issue. I think I would point you to 88 warrant positions and 55 loans. We haven't had a big homerun warrant gain in a while and that is just a point to us, but we believe that the potential remains for the warrants and success fees to produce shareholder value as we said in my script, and as we say and as we've proven out over time in the venture lending models. So it's a combination of both of those things.
Robert Dodd: Okay, got it. Thanks. One more, if I can. Just on the unfunded commitment issue with the SEC the right now. Any comments you’ve got on where that stands? And also secondarily, do you think that is going to influence the type of terms you or the market are offering to borrowers, at least from the BDC side, going forward?
Gerry Michaud: Yes. So the question really is it relates to how the SEC views lenders as it relates to unfunded commitments and it’s this balance they have between protecting shareholders and portfolio companies and letting the operator actually lend its capital. It's really too early to tell for Horizon to claim to know what the ultimate outcome will be, but we’re confident there will certainly be more dialog on the topic over the coming months and quarters. As it relates to who will be affected more, I think generally those that have very large, very long unfunded commitments in comparison to its overall portfolio or overall capital base are probably more impacted than those that have the opposite. Horizon tends to have shorter commitments and more manageable, relative to our equity base than some others that have a larger capital base.
Robert Dodd: Okay. Got it. Thank you very much.
Operator: Thank you. Our next question comes from the line of Greg Mason from KBW. Your question please.
Greg Mason: Great. Good morning, guys. First, just on the credit side of the equation. It looks like number two rated credits doubled from 3% to 6% and it's now 11% of the portfolio. Can you just talk a little bit about the underlying credit in your portfolio, and particularly related to the increase in number two-rated credits which are performing below expectations?
Rob Pomeroy: Yes. Thanks Greg. We have normal - we view this as a high but normal level of migrations of three credits to two. Remind everyone that a two-rated credit is company that is experiencing the need to raise capital and maybe some stress or uncertainty around that, but a loan that is still performing and that we expect not to have any projected loss. If that were the case, we would have lowered it to a one-rated credit. So this cycle is up and down. It’s on the higher end right now, but our general feeling is that this is certainly very normal level for us.
Greg Mason: Okay. And then, could you just talk a little bit about the longer term plan. Last conference call, there was a lot of expectations about the SBIC, we raised capital. And early June, the SBIC license - you pulled your application. So just some thoughts around that, and longer term, what is the plan over the next 2 to 3 years as I imagine that looks different without an SBIC under the umbrella versus before?
Rob Pomeroy: Yes, so it would be our strategy which we stated even back when we raised the capital that we believe that, that capital is accretive to the shareholders in the long-term based on our combination of onboarding and total portfolio yield over time. We take very seriously our need to demonstrate to the market that we can cover our dividend and we believe that we can, based on deploying that equity and the leverage that we have in place and can expand into with our accordion feature on the KeyBanc facility. And we're working our way to that. We've made good progress in this second quarter in terms of developing or expanding the portfolio. If we can reach our target leverage of 0.75 with our yields and our costs and a tolerable level of - or good level of credit experience and gains and additional income, we will cover our dividend and prove to the market that we can do that long-term. And so we would hope then that we would continue to churn the portfolio at that rate and eventually raise additional capital accretively above book.
Greg Mason: Okay, great. Thanks guys.
Operator: Thank you. Our next question comes from the line of Christopher Testa from National Securities Corporation. Your question please.
Christopher Testa: Hi guys. Thanks for taking my question this morning. Just added the $48 million that you funded in the second quarter, how much of that would you say closed after June?
Rob Pomeroy: After June.
Christopher Testa: Including June I should, after June 1. I’m sorry.
Gerry Michaud: Yes, so I would say that - I don't have actually the number in front of me, but I would say that somewhere between 70% and 80% of it closed in the last month of the quarter.
Christopher Testa: Okay, great. And just the current committed backlog. What's that number and how much of the current committed backlog is from new portfolio companies from the second quarter?
Chris Mathieu: The committed backlog is $29 million.
Christopher Testa: $29 million.
Chris Mathieu: And all of those transactions are second tranches of transactions that are already in our portfolio.
Christopher Testa: Got it. And what’s the - I know prepayments were very slow for you on much of the market in the first couple of quarters here. What's been the activity so far in Q3?
Rob Pomeroy: Yes. So we don't really have a good sense of that yet. It's still fairly early in the quarter. If you look at the second quarter, I think it was $5.4 million; previous year it’s $25 million. So one would probably be at the high-level, one would probably be at the low level. So we don't have any solid look yet at the third quarter. We are watching some companies that are doing some interesting things, but we don't have any hard numbers on that yet.
Christopher Testa: Okay. And are you looking for the ABS. Should that be completely run-off by the end of Q4 this year?
Gerry Michaud: It will - there will be a small tail that will carry it till 2016.
Christopher Testa: Okay. Got it. And what should be segments that you lend and do you think there is going to be the most room opening up from the tech banks and others kind of pulling back from that? Where do you think the most of opportunities are going to open up if competition were to abate a bit?
Rob Pomeroy: Yes. I think that it's really going to be across the board. I think that you think about technology companies being revenue-driven companies, I think the bank has struggled with term loans that - where the companies aren’t meeting their - quite meeting their revenue hurdles, and then they have to come back for refinance. I think the banks struggle with that because they are far more regulated than lenders - than pure venture lenders are. So I think they struggle with that. On the life science side, it’s the size of the transactions. They are generally larger transactions, and so the banks have always and will continue to need strong partners in that marketplace. And a couple of the traditional players in that market have pulled back a little. So I think that makes it a little bit more difficult for them to be - to play a significant role.
Christopher Testa: Right. Thank you for taking my questions guys.
Operator: Thank you. Our next question comes from the line of Casey Alexander from Gilford Securities. Your question please.
Casey Alexander: Most of my questions have been answered, but what is the regularly scheduled pay down in amortization for the third quarter?
Chris Mathieu: It will be approximately $6 million.
Casey Alexander: $6 million. Okay, great. Thank you. That's it.
Operator: Thank you. And we have a follow-up question from the line of Greg Mason from KBW.
Greg Mason: Hi guys. I just had one quick follow-up question on mBlox. It’s portfolio of companies you’ve had for a while, but looks like you’ve got a couple of new $1 million pieces that have 100% end of term payment. And just curious we haven't seen anything like that in your portfolio before, so just curious on those two new add-on investments?
Rob Pomeroy: That's basically in lieu of a warrant position based on the value of the company. We swapped out that structure rather than having warrants.
Greg Mason: Okay, all right. Great, thanks.
Operator: Thank you. Our next question comes from the line of Jonathan Bock from Wells Fargo Securities. Your question please.
Jonathan Bock: Thank you. And thank you for taking my questions. So just - a few just investment-specific items, in line of what you mentioned about two-rated credits. I was curious. We saw just a slight markdown to Lantos Technology this quarter, maybe just on the dollar basis that was sizable to some of the others. Can you give us a sense of that credit and its performance near-term?
Rob Pomeroy: This is like all of our companies Jonathan. They are private, but typical for two-rated credits. They are behind plan and raising capital and working through that with support from their investors.
Jonathan Bock: Okay. And Rob, we very much appreciate the comments that you gave about stock buybacks. It was a thorough report. It was a thorough argument. And I guess the question I would submit is, does a stock buyback need to be - it almost feels as if there is some amount of mutual exclusivity, that it has to be one or the other. And in many cases, it does not need to be that way, when we think about, if you're in business of making 13% returns on coupons and a little bit of warrant coverage, there is a stock with a 13% yield trading at a deep discount to book with 20%-plus upside. Some investors might argue that that is on par with what you're generating today. Now it doesn't mean it needs to be all your capital, but then when you also mentioned your investments and how you're looking for some big warrant payoffs, buybacks actually increase investors’ exposure to the benefits of those warrant payoffs in the future. So I'm just curious on the exclusivity - the mutual exclusivity at least I was…
Rob Pomeroy: Yes, Jonathan, we took all of these points which have been very carefully outlined in the literature and a lot of things that you’ve written and others have written. We took all of that into consideration and our Board thought long and hard about it, and this is a conclusion we’ve come to at this time. And so, hope you respect that.
Jonathan Bock: Yes. We do. And thank you very much.
Operator: Thank you. This does conclude the question-and-answer session of today’s program. I'd like to hand the program back to management for any further remarks.